Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Niu Technologies Fourth Quarter 2019 Earnings Release Conference Call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded. I would now like to hand the conference over to your first speaker today Mr. Jason Yang, Investor Relations Manager. Thank you. Please go ahead. 
Jason Yang: Thank you, operator. Hello, everyone. Welcome to today's conference call to discuss Niu Technologies results for the Fourth Quarter and Full Year 2019. The call is being webcast from company's IR website. An investor presentation and a replay of the call will be available soon at ir.niu.com. Please note today's discussion will contain forward-looking statements made under the safe harbor provisions of the United States Private Securities Litigation Reform Act of 1995. Forward-looking statements involve risks, uncertainties, assumptions and other factors. The company's actual results may be materially different from those expressed today. Further information regarding the risk factors is included in the company's public filings with the Securities and the Exchange Commission. The company does not assume any obligation to update any forward-looking statements except as required by law. Our earnings press release and this call include discussions of certain non-GAAP financial measures. The press release contains a definition of non-GAAP financial measures and the reconciliation of GAAP to non-GAAP financial results. On the call with me today are our CEO, Dr. Yan Li; and the CFO, Mr. Hardy Zhang. Now, let me turn the call over to Yan.
Yan Li: All right. Thanks, Jason and thanks everyone for joining us on the call today. So, on the performance, our sales volume has increased by 14% in Q4 2019 and by 24% for the full year of 2019. Our revenue has also increased by 25% in Q4, and by 41% full year 2019. We have also enhanced our gross margins achieving a historically high gross margin at 26.1% and net profit margin at 11.3% in Q4 2019. All financial data were beyond our expectation. Now, we continue to build our leadership in urban mobility via product and technology development event and user-based activity [Technical Difficulty]. We launched our U-GT in late December. U-GT is an upgraded high end version of users targeting, primarily Europe and the U.S. market. U-GT inherited a simplistic design style and lightweight body of our award-winning U-series, while increased wheel size and performance with the retail price started at €1,699 in Europe. Second, we have launched our first straddle electric motorcycle product R and our first three wheel electric motorcycle T at a CES in January. Both are revolutionary products to redefine urban mobility. R is our power performance product. It has the top speed of 160-kilometer per hour, and the maximum drive range of 130 kilometers. It comes with a maximum 30 kilowatt mid-mounted motor and a 7-kilowatt hour portable two batteries. Our primarily targets in Europe and the U.S. market as well as high-end motorcycle market in China. As a high-end straddle motorcycle and listed our new brand in urban mobility. Our video of R on Douyin has received more than 25 million views as one of the top viewed videos on our Douyin platform. So this is just another testimonial on the popularity of this product. We expect R will be in the market in late 2020. While R focuses on performance, T focuses on comfort and smart commute in urban mobility. A south balancing 3-wheeler with the roof covered, T is the urban old weather commuter with the top speed of 80-kilometer per hour and a maximum drive rate of 200 kilometers. It's spacious to take additional passenger and with extra cargo space. In addition T is the Level two autonomous driving capable, including adapt -- adaptive crude control, self-parking and the collision detection system. It is the perfect urban mobility vehicle for individuals and couple commuters easy to use, robust to all-weather conditions and smart for safe driving. Now besides the new products, we continue to enhance our brand awareness through product launches via marketing and the targeted marketing. First, we attended for the first time CES in the United States in January. At CES, we successfully launched the two revolutionary products R and T as mentioned before and continue to strengthen our brand of style, technology and freedom in urban mobility. We received more than 200 media coverage with more than 2000 articles published. We also broadcasted the launch on social media platforms, achieved around 120 million views on Weibo and 34 million on Douyin. Second, we continue to create a viral marketing on social media platform. Our quarterly Douyin views increased from -- increased to 20 million in 2019 Q4 from just a few millions in the first three quarters in 2019. And due to the popularity of short-video platforms, we plan to invest more resources on Douyin quite considerably as well. Internationally, our 30-plus KOLs across Europe have also created more than 1,000 pieces of new branded content. Display them on Eastern brands and YouTube. The highlights of those came from key strategic cities such as Hamburg, Paris, Frankfurt and Milan. And lastly, a Chinese TV series called [indiscernible] was aired in February this year and has become one of the most popular shows in China recently. Our scooters were used numerous times at the commuting vehicles in this TV series, selected by the cast due to our fashionable line. This has achieved more than 2.6 billion views and the show is still running. Now supported by the new products, the enhanced customer engagement and brand awareness, we continue to expand our footprint. By end of Q4 2019, the number of franchise stores in China has reached to 1,050 as we added a total of 290 stores in the entire year of 2019. We further expanded our international footprint to 38 countries with 26 flagship and premium stores overseas and 1,000-plus billers. Now, despite the significant progress that we made in Q4 2019, our business operation has been disrupted by the outbreak of coronavirus in Q1, 2020. First, our sales in China have been impacted significantly. Multiple cities have shut down business a part for the entire February. So, we started February with all of our stores closed, but ended with 65% of our stores opened at end of February for business. Furthermore, as people were recommended to stay home and work from home, there were little retail traffic or retail demand. Now, we started to observe recovery in March, as businesses start to be back in operation and up until now, 85% of our stores have opened for business. Now in addition for the past 1.5 month, we also focused on store sales improvement, linking off-line stores with online presence. In February, we trained all our store operators to set up online virtual stores via WeChat and provided online sales consultations to potential customers. We also marketed the online purchase offline delivery campaign and received promising results. Our online to offline orders has increased by 2.5x over the same time last year. Second, our international sales have also been impacted due to the disruption in production and shipping. Our factory was shut down for the first half of February and after the factory, we opened in mid-February, we also experienced a shortage of frontline workers as many of them were still in quarantine in their hometown. Now, our upstream suppliers also experienced similar situation. Now this disruption has caused slight delay in our international order fulfillment. Under the current operate globally, we also focused on expanding our international footprint, enter additional countries in South America, as well as establish a stronger footprint in Southeast Asia to diversify the international sales. Now, despite the current setbacks, we remain very positive about our business performance after the coronavirus outbreak is over. First, the long-term industry trend or the fundamental market demand remains unchanged. Urban mobility is the necessity and there is always a strong demand for more convenient, more efficient and cleaner urban community solutions. Second, we observed that in many markets that the forced quarantine has rather shifted the consumer focus from offline to online, which we will benefit from due to our strong presence in both online and offline for marketing and sales. Now in the meantime, we're managing our business in a very prudent manner and ready to accelerate as soon as the markets start to recover. Now, I'll turn the call over to Hardy to discuss our financial results. Hardy?
Hardy Zhang: Thank you, Yan, and hello, everyone. Before I discuss the Q4 financials, I would like to first share with you our cash and liquidity status, because I think some of you may have concerns. The short answer is, we do not foresee cash and liquidity program in the short-term based on our current estimate. By the end of last year, we had cash term deposit and short-term investment of RMB765 million in total. In early February, when the Chinese government first announced the restrictive measures to combat the virus, we did a stress testing and run different scenarios to assess the impact. Subsequently we took proactive actions to manage our cash spending and working capital. In the meantime, we have been monitoring cash sales on daily basis. We are glad to see cash sales coming in consistently during the past few weeks. In terms of that, we have short-term bank borrowings of RMB217 million as of December 31st last year. Out of the total borrowings, only RMB20 million is credit loan. The rest are cash prior to loans. We pledged our U.S. dollar cash to banks and borrow RMB loan to achieve a reasonable cash balance in different currencies. Considering our cash balance and debt structure, we do not foresee short-term liquidity problem. Of course to ensure we always have a plan B, we keep active communications with our relationship banks. They are very supportive and stand aside with us to provide support when needed. I hope, I've over addressed your concerns and let's turn back to discuss our Q4 financials. Our press release contains all the figures and comparisons you need. We have also uploaded excel format figures to our IR website for you as a reference. As I review our financial performance, keep in mind that we are referring to the fourth quarter figures unless I say otherwise and that's all monetary figures RMB unless otherwise noted. Our Q4 sales volume reached 106,000 units increased by 13.5% year-over-year in line with our expectations. Total revenues rose 25% to RMB536 million above the guidance we provided earlier. Mainly because of two reasons. First, the product mix for e-scooter sales among favorable. The higher priced N and M Series continued to take a decent proportion of our total sales volume. In Q4, N and M Series in total accounted for 40% of sales volume compared with 35% in Q3. Second, strong sales in accessory spare parts and services. In Q4 for each e-scooter sold we also sold RMB820 accessories spare parts and services compared with RMB524 in Q3 and RMB327 in Q4 2018. The strong sales came from the spare parts sold to our overseas sharing operator and to our after-sales service providers. Our e-commerce platforms also had strong sales in accessory and services in the fourth quarter, benefiting from the larger user base, higher brand recognition and more effective marketing activities. Revenue per scooter was RMB5,046, up 10% year-over-year. That growth was mainly driven by strong sales of accessories spare parts and services as I mentioned above. Gross margin was 26.1%, 12.6 percentage points better than this time last year and 3.9 percentage points higher sequentially. Our full year gross margin was 23.4%, 10% better than full year 2018. Q4 margin expansion was helped by the similar factor as we discussed during last quarter being the overall favorable revenue mix and cost cutting efforts. Operating expenses on comparable basis increased in line with the growth of our business. Our total operating expenses excluding share-based compensation was RMB 86.5 million increased by 31% year-over-year. Operating expenses as a percentage of revenue were 16.1%, 0.6 percentage points higher than the same time last year. The increase was mainly caused by the higher G&A expense, because we made provisions for bad debt and had additional professional service fees related to our global trademark registration. When we look at the full year 2019 numbers, our total operating expenses excluding share-based compensation were 14.9% of total revenue reduced by 1.9% compared with 2018. We achieved the leverage in our operating expenses on full year basis. In the fourth quarter, we have RMB 13.5 million government grants, mainly related to our new factory in Changzhou which commenced operation in December. For full year 2019, we had RMB 29.8 million government grants, RMB 22.6 million is related to the new factory expansion and the tax paid remaining a one-off grant. During 2020, we expect to continue to receive government grants, but it will be a much smaller amount. Our GAAP net income in Q4 was RMB 60.7 million with net income margin of 11.3%. Our GAAP net income for full year 2019 was RMB 190 million with net income margin 9.2%. The margin is higher because of above-mentioned improved gross margin. The operating leverage achieved government grants and also because of limited income tax expense as the company benefited from the accumulated to carry-forward from early years. In the coming 2020, when the company continue to generate profit, we expect to pay the regular income tax during the year. Turning to our balance sheet. We ended the quarter with RMB 765 million in cash term deposits and short-term investment. Capital expenditure was RMB 42 million, mainly for building a new manufacturing facility in Changzhou and for expanding our retail sales network. Short-term bank loan was reduced by RMB 51 million compared with Q3 as we repaid bank loan. For full year 2019, our operating cash flow was positive RMB 201 million. Capital expenditure was RMB 164 million. Now let's turn to guidance. We expect first quarter revenue to be in the range of RMB 195 million to RMB 265 million, a decrease of 45% to 25% year-over-year. Please keep in mind that this forecast reflects our current and the preliminary expectation and could change in light of uncertainty related to the COVID-19 developments. As Yan already mentioned, our operations are affected by the outbreak in many aspects in the short term. But when taking a longer-term view, we remain positive about our business perspective. With that, let's now open the call for any questions you may have for us. Operator, please go ahead.
Operator: [Operator Instructions] Your first question comes from the line of Winnie Dong of Piper Sandler. Please ask your question.
Winnie Dong: Hi, good morning. Thank you so much for taking my question and for Alex Potter. I'm wondering so you have your guidance down for March, down 25% account [ph] 45%. Can you elaborate on what kind of scenarios you're baking into that wide range? What will get us to the higher end? And what will get us to the lower end? And then, just any sort of on-the-ground development that you're carrying in March as we stand now? Obviously, a lot of impact has spread to Europe and to the west anything that you're seeing in China. That'd be -- if you can share that that would be great? Thank you.
Hardy Zhang: Yes. For the guidance, yes, we gave a wide range with 45% to 25% decrease compared with last year. And the basis for giving that is we first took a conservative estimate based on the orders we more or less already have on our book. That's including both the orders from overseas distributors and also the estimated orders from domestic distributors. And because as you may know there is seasonality in the sales of e-scooters in China and Q1 is the slowest season and normally the sales begin to pick up from March. Therefore, we expect the second half of March will be quite key two weeks for us to sell additional scooters. Therefore we are betting on additional 20% from the second half of March mainly because a few things. First, if the government lifted some of the restrictive measures for store openings then this additional shop can open in the next two weeks. As Yan already mentioned, up to now we have only 85% shops opened. But if the additional 15% shops can open then we can generate additional revenue from our retail shops. This is the first reason. Second reason as we have seen some of our distributors who have their shops opened, they are increasing their retail sales. Therefore we expect they will continue to order from us. However as I said, there's a lot of uncertainties during -- due to the current outbreak. Therefore we have taken a conservative approach and also give a wider range due to the risk involved. Yan Li begin to comment on that. 
Yan Li: Yes I think Hardy pretty much covered it. It's really -- we're actually watching the situation on a daily basis at this point. We look at the retail sales in March basically the first two weeks like you guys look at the second week versus the first week the retail sales actually increased by almost 10% to 15%. So it's really about third week and the fourth week, how that picked up and how we fulfill the orders. At this point our factories has pretty much back online, so we have no issues of fulfilling orders. It's really -- the market need to be picked up both from the China side, as well as we're looking at the Europe and the U.S. as well. 
Hardy Zhang: I hope that answers your question. 
Winnie Dong: Yes, that's very helpful. Thank you very much.
Operator: Your next question comes from the line of Vincent Yu of Needham & Company. 
Vincent Yu: Hi management, I have a few questions. First question is trying to understand what's our view in international market in first half 2020 especially when the European are -- like the outbreak continue to go on? The second question is on what's our view in gross margin in the short-term to large term? And especially how big headwind we should expect especially when overseas market is being impacted? Third question is what's our view on our 2020 OpEx and CapEx plan given the industry headwind? Thanks a lot.
Yan Li: Okay. Let me -- so this is Yan. I'll cover the international market. I'll have Hardy cover the gross margin the CapEx, OpEx as well. So I mean to be frankly, I think we're actually watching the international market on a daily basis right now. So if you look at last year the -- I think the European sales represent roughly about 70% or -- 76% to 70% of sales internationally plus the U.S. market probably represent about 80% of our sales. So those -- we have orders from European distributors and we have orders from U.S. distributors as well some of the sharing operators in Europe and the United States. And so, those are orders actually in our backlog at this point, we're actually trying to fulfill. And they will actually serve as a basis for the first half in 2020. Then having said that right, it's really depends on how -- obviously our sales operation has been impacted retail set operation has been impacted. For example Italy where initially we have about -- we plan actually to build up about 10 to 20 flagship stores in Italy. And right now we only have a few. And then the entire country's practically got shut down. So that retail sales practically are down for the first few weeks. So we're actually watching the situation on a daily basis at this point. Let me ask Hardy on the gross margin point? 
Hardy Zhang: Yes. And for the gross margin, for the full year 2019, our gross margin was around 23%. And for the Q1 this year, we do expect some of the decrease of gross margin, mainly because our factory cannot work under full capacity. However, for the full year 2020, we still have the plan to at least keep the same gross margin as what we already achieved in 2019. These couple of initiatives we have already started since the end of last year. One of the things is, we are trying to renegotiate some of the component costs with different suppliers. And we made progress with many of them. Therefore, we do see continuous cost down opportunities. Secondly, as you know. Commercial operation in our new manufacturing facility in Changzhou and that facility was designed by ourself. Therefore, we do expect higher efficiency from this new facility. And very largely, as we continue to improve our revenue mix including both the accessories spare parts and also some of the international sales, we do expect some potential upside from the revenue mix. Overall speaking, we target to achieve at least the same gross margin as what we have in 2019. So this is gross margin. And to answer your last question on the OpEx and the CapEx. For the OpEx, as a percentage of revenue in 2019, it was around 15% of our revenue. Given, we expect to continue to grow in 2020, we think we could probably at least maintain this 15% and maybe we can even achieve further synergies or leverage from operating expenses. In terms of CapEx, during 2020, there's two areas where we want to spend money. One is to continue to expand our retail sales network. Because of this coronavirus outbreak, we are reevaluating how many shops we need to open. But in any way, I think, maybe RMB 50 million to RMB 100 million will be more than enough for us to open all the retail shops which we need. The second area we want to spend money is we reserved a piece of land next to our current facility. And we do have a plan to acquire at least the land use right of that facility. And, therefore, we can ready to construct new factory whenever needed in China, because of new national standard implementation last year. Chinese government gave a three-year transition period for the consumers to replace their e-motorbicycles. Therefore, we do expect some of the increase in demand during 2021 and also 2022. Therefore, we do believe we need to get ready for some of the capacities. Therefore, these are the two areas that maybe spend money, but they are more or less in our control and we can base on how the things develop to decide how much and also how fast we spend the money. I hope this answered the question. Yan, anything to add?
Yan Li: Vincent, just actually -- just one thing, I'll mention on your first question is actually besides Europe -- it's one thing we're trying -- what we have done. And, actually, we believe it actually will help the international market this year as we diversify our revenue streams, not just from -- it used to be Europe and the United States represent 80% market, but literally starting at the second half last year as we actually expanded to more countries, for example, we successfully entered Japan, we're well in Korea. We're actually starting to develop more businesses in Southeast Asia. And just recently, we actually signed quite a few distributor agreement in South America. So, obviously, some of the sales actually, whether it will show up in Q2 or second half of Q2, it depends. It also depends on how situation in those countries actually turned out to. But I think as -- if I look at -- in the long run, not for the -- for the entire year it actually opened up more markets for us, which actually help us to basically to reduce the risk.
Vincent Yu: Got it. Thank you very much on the nice answer guys.
Operator: [Operator Instructions] Your next question comes from the line of Bin Wang of Crédit Suisse. Please ask your question.
Bin Wang: Thank you. I actually have three questions. Number one is about volume growth in the past three months. If you see you guide, 25% to 45% revenue decline -- alone decline and because ASP increased by 5% last year. So the volume on guidance is netted to be 20% to 40% decline. So in that case, can you provide -- but I must say, was the number in January was number in February and was likely in the March. Can I assume that March will keep much higher growth compared to the February? So we see a sequential improving change. That's number one about volume growth. And number two is about new products. We're actually expecting you'll relaunch M-Series called NQi because it's not country's motorcycle, it didn't reach into the e-scooter category. So, when the new design and pass we are back to the e-scooter category that actually were a key driver for the volume growth this year. That's the second question? And third one is about the cost reduction. We actually observed the battery price has been declined around 28% year-over-year in the first quarter this year and if you see sequential order increase decline by around 20% Q-on-Q. So, this actually is the only battery. Can I assume a similar pricing decline for the e-scooter battery as well? So, if in the case Canada doing 20% of cost reduction in the battery price? Thank you.
Hardy Zhang: Let me address your first question about the volume for the first three months. Normally, we -- look we combine January and February together because different years the Chinese New Year are on different months. So, if you combine January and February our volume was down around 60% compared with last year. But in March, at least, in the first two weeks, we have seen volume down only 20% to 30%. So, we do see an improvement in the first two weeks of March and we continue to see improvement during the past few days. So this is answer for your first question on the volume. For the second for the new product I will leave to Yan to comment.
Yan Li: So, on the product part, so we do have a plan to not just have one series also have two products that compliant with the Chinese new regulations on electric bicycles. Those products were scheduled to be launched in April, but now actually due to the coronavirus outbreak, we had to push it -- it basically created a delay roughly about a month or so. So, we're actually trying to -- the entire team trying to work very hard to actually try to accelerate that schedule such that we can actually see the product either by end of April or early May. The delay is mainly needless to say entirely -- basically entire country got shut down for a month or a month or more. So, it's actually very difficult to accelerate the product development. So, we're trying hard on that one. So, -- and also we do have high hope on those two products, especially, the one first on the one you mentioned the new M-Series that will be actually a full covered electric bicycle products. It have -- will have the inherited the design style of our M-Series at the same time complying with the China new regulations. I think people will be expecting that product since last year. And finally, we should be able to give what people want in Q2 this year.
Hardy Zhang: And just to add to Yan's point on the second -- your second question about the new M, we have successfully got the certification for that product. So, I think that's one of the key milestones that we already achieved. And to answer your third question about cost reduction, I think during 2019 we have seen the whole battery including battery cell, also battery pack, the cost has reduced around 9% during 2019. And for 2020, it's on the current estimate we see at least a 5% to 10% reduction. And this is before the coronavirus outbreak. But this outbreak may give us additional leverage to continue to negotiate the price down. So, that's our current expectation probably 5% to 10% cost reduction for the battery sales.
Bin Wang: Thank you.
Operator: [Operator Instructions] There are no further questions at this time. I would now like to hand the conference back to today's presenter. Please continue.
Yan Li: Well, thank you operator and thank you all for participating in today's call and for your support. We appreciate your interest and look forward to reporting to you again next quarter on our progress. Thank you.
Hardy Zhang: Thank you.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may now all disconnect.